Operator: Good day, and thank you for standing by. Welcome to the Q2 2022 Extra Space Storage, Inc. Earnings Conference Call. [Operator Instructions]. Please be advised that today's conference is being recorded.  And I would now like to hand the conference over to your speaker today, Mr. Jeff Norman. Mr. Norman. Please go ahead.
Jeffrey Norman: Thank you, Chris. Welcome to Extra Space Storage's Second Quarter 2022 Earnings Call. In addition to our press release, we have furnished unaudited supplemental financial information on our website.  Please remember that management's prepared remarks and answers to your questions may contain forward-looking statements as defined in the Private Securities Litigation Reform Act. Actual results could differ materially from those stated or implied by our forward-looking statements due to risks and uncertainties associated with the company's business. These forward-looking statements are qualified by the cautionary statements contained in the company's latest filings with the SEC which we encourage our listeners to review.  Forward-looking statements represent management's estimates as of today, August 3, 2022. The company assumes no obligation to revise or update any forward-looking statements because of changing market conditions or other circumstances after the date of this conference call.  And with that, I'd now like to it over -- time over to Joe Margolis, Chief Executive Officer.
Joseph Margolis: Thanks, Jeff, and thank you, everyone, for joining today's call. Before I report on our performance, I am happy to announce that we recently published our Annual Sustainability Report. We are proud to be a sector leader, not only operationally, but also in sustainability. I encourage you to review our report, which is posted on our Investor Relations website.  Turning to results. The strong trends we experienced in the first quarter continued into the leasing season. Year-over-year same-store revenue growth in the quarter was 21.7%, matching our first quarter growth rate. This is an all-time high for Extra Space Storage. Despite expense pressure on several line items, NOI growth remained very strong at 26%. This was achieved primarily through year-over-year rental rate growth, partially offset by a modest decrease in year-over-year occupancy due to elevated vacate activity.  With manageable new supply and durable customer demand, we continue to operate at high occupancy with strong rates. Despite inflation and the potential effects of recession, we believe we are well positioned to continue to produce strong results due to our resilient need-based asset class, diversified portfolio, strong balance sheet and best-in-class team and platform.  We were active in each of our external growth channels. During the quarter, we invested $289 million in property acquisitions and we invested an additional $92 million in July, bringing year-to-date totals to $610 million. We have continued to focus on acquiring nonstabilized properties and, as we outlined last quarter, have started closing more transactions in joint venture structures.  We started to see the market shift late in the quarter with increasing interest rates, reducing the number of bidders at the table and the bid-ask spread widening between buyers and sellers. We are being selective with our acquisitions, and we are focused on transactions and structures that will be accretive for our shareholders.  In the quarter, we closed $70 million in bridge loans, and we added 40 additional stores gross to our management platform. We also made a creative storage investment, purchasing an existing storage company named Bargold Storage solutions. This company has a different model than traditional storage. It is focused on leasing space and apartment buildings, primarily in New York and subleasing storage spaces to residential tenants.  The acquisition of Bargold added over 17,000 units to our portfolio with an occupancy rate over 97%. Due to the unique nature of its operations, we have retained their team and are keeping the entity running as a separate organization. We view this transaction as another creative investment in the storage sector which came to us through deep industry relationships.  Our strong property NOI, plus our external growth efforts, resulted in core FFO growth of 29.9%. Our growth allowed us to raise our annual FFO guidance for the second time this year. It has been another great quarter, and we are well on our way to another strong year. Storage fundamentals remain solid. While we expect our rate of growth to moderate in the back half of the year due to very difficult comps, we expect it to remain well over historical averages, with modeled year-over-year revenue growth remaining in the double digits through 2022.  I would now like to turn the time over to Scott.
Scott Stubbs: Thanks, Joe, and hello, everyone. We had a strong second quarter, ahead of our own internal projections. Our outperformance was driven primarily by strong property performance, which benefited the same-store pool, joint ventures and management fees.  As Joe mentioned, we were active on the external growth front. Our investments were capitalized primarily by draws on our revolving lines of credit. We issued $22 million in operating partnership units as part of the Bargold transaction, bringing year-to-date issuance of equity to approximately $60 million. In the second quarter, we repurchased approximately $63 million of shares -- in shares at an average price of $165 per share.  Due to the wide spreads in the investment-grade bond market, we've been active with our banking relationships. Last week, we completed an accordion transaction in our credit facility, adding $600 million of unsecured debt within the facility across 2 tranches. Our plan to term out debt using the investment-grade bond market has not changed, and we expect to utilize this market again once conditions normalize.  Our leverage remains low, with net debt to EBITDA of 4.4x, and our unencumbered pool is over $13 billion. We continue to have access to many types of capital, and we have significant debt capacity to support future growth and maturities, albeit at higher interest rates.  Due to our year-to-date outperformance and improved outlook for the second half of the year, we updated our 2022 full year guidance. We've increased our same-store revenue guidance to 16% to 18%, driven primarily by rental rate growth. We strive to be efficient with expenses, and we believe our continued investment in our people and our properties are contributing to our top line growth. Consequently, we experienced same-store expense increases across several line items, and we have increased our expense guidance to 7.5% to 9% for the full year.  Our increased revenue far outweighs our increased expenses given our high-margin business. As a result, our same-store NOI growth range increased to 18.5% to 21.5%, the highest NOI growth guidance in our history.  Given our total investment activity year-to-date of $790 million, we have increased our acquisition investment guidance to $1.2 billion, only $250 million of which is unidentified. Our preferred investment in NexPoint remains in place and Bridge Loan volume and interest rates are higher than anticipated. As a result, we have increased our interest income guidance by approximately $3 million.  Due to the increase in interest rates as well as our higher acquisition volume, we've increased our interest expense guidance by $13 million at the midpoint. The sum of these adjustments result in an increase in core FFO, which is now estimated to be between $8.30 and $8.50 per share. We anticipate $0.20 of dilution from value-add acquisitions and C of O stores, in line with last quarter's estimate. we're having a great year, and we are positioned for continued steady growth.  And with that, operator, let's open it up for questions.
Operator: [Operator Instructions]. Our first question will come from Todd Thomas of KeyBanc Capital Markets.
Todd Thomas: The first -- I had a couple of questions, I guess, on the Bargold acquisition. I was wondering if you were able to share sort of the initial yield on that $180 million investment or put some parameters around the anticipated return that you're expecting on your investment?
Joseph Margolis: Sure, Todd, and thanks for your clever title to know, we all got to chuckle out of that. So we underwrote the existing business. We didn't underwrite any extraordinary growth. We didn't underwrite any synergies. We fill our G&A on top of it. And just underwriting what exists today, the first year yields in the low 4s and it grows to the mid- to upper 5s. So kind of similar to urban property investments, I would say.  And then our hope is, of course, we're going to first try to institutionalize the business, introduce things that they haven't done. In terms of technology, they don't charge administration fees, they don't offer insurance. And that's kind of the first step of the plan is to institutionalize it and bring some Extra Space's, expertise and procedures, processes to it. And then we'll see Bar growing it. We'll try to grow it in New York City. And if that works, then we'll take it outside of New York City. But it's kind of one step at a time for us.
Todd Thomas: Okay. And can you speak to some of the -- I mean, you characterized it as a creative investment. But can you speak to some of the fundamental differences in that business maybe compared to the traditional storage business whether price increases and maybe restrictions around raising rents to customers and the magnitude and frequency of increases and things of that nature as you have continued to potentially roll this out and look to grow the platform?
Joseph Margolis: Sure. Great question. So the business is leasing space in apartment buildings, and it's primarily basements and garages, building those spaces out. So if you walked into them, they would look exactly like the interior of one of our modern self-storage facilities and then leasing that only to tenants in the apartment buildings. So because of that, your customer acquisition and marketing costs are almost nothing.  It's a -- your incremental cost to grow the business is very, very small because you're not buying any real estate. It's all leases. So we bought the business, we bought the platform, and now it's capital light going forward. And the tenants are different. They stay for a long time. The average length of stay of in-place customers in this portfolio is 8 years. The churn is less than 0.5% a month compared to our churn of 6% to 7%. So it's incredibly stable.  They operate at occupancy of over 97%, and they have over 1,000 people on the waiting list. So that's a good example of synergies that we're going to experiment with is do we get those people on the waiting list into an Extra Space store until a unit opens up for them? It also tells me their pricing might not have been sophisticated as ours is. But you are right. The rate increases are limited in some instances and coordinated with the landlord because the landlord doesn't want a tenant to be unhappy or be using money he could for increased apartment rent, for increased storage rent. So there is a difference there as well.
Todd Thomas: Okay. That's helpful. And then one last question, if I could just switch over towards -- to the leasing environment and rental activity. Occupancy is at a very healthy level, but rentals were up pretty big year-over-year. And we've seen the housing market cool off a bit. And I wouldn't have thought that there'd be significant incremental demand, I guess, from some of the pandemic drivers that we saw earlier during the latter part of '20 and 2021.  Any sense where the demand is coming from today? And it seems to be fairly strong, perhaps stronger than expected. So just curious if you have any sort of information around where the customers are coming from and where the demand is really coming from?
Scott Stubbs: Yes, Todd, if you look at kind of our surveys and the questionnaires we give our customers, it's come back to pre-COVID answers. It's largely coming from people moving, lack of space obviously is needed, but not what it was in COVID.  Our rentals and vacates have moved much more to pre-COVID numbers. Our vacates are elevated slightly now, partly due to the existing customer rate increases that have gone through over the last year as we move people quickly to street rates because these state of emergencies have been removed. So while vacates have been elevated slightly, rental activity has been really good. It's been strong. So we've been able to backfill those. So we have moved people quickly to street rate.
Operator: [Operator Instructions]. Our next question will come from Spenser Allaway of Green Street Advisors.
Spenser Allaway: Maybe just 1 or 2 more just on the Bargold topic. I know you mentioned the 97% occupancy. Just curious, is this kind of in line with historic norms for this company? Or is this kind of like a peak occupancy level? And then also, are there other operators doing the same thing that you're aware of? And if so, are they potential consolidation targets down the line?
Joseph Margolis: This company has historically operated at, what we would consider, very, very high occupancy levels. So over 97% would be a normal occupancy level for Bargold. I do not know of any other company that does this on the scale that Bargold does. And it's one reason that is exciting to us is the potential growth without a lot of competitors.
Spenser Allaway: Okay. Great. And then maybe just one more, just on the leasing front. We've recently heard from market participants that there's been a pull forward of peak leasing season. Just curious if that was consistent with what you've seen in the portfolio?
Scott Stubbs: Yes, I'm not sure I fully understand the question, a pull-forward?
Joseph Margolis: So I'm not sure you know that until the future, right? I mean, yes, leasing has been strong and demand has been strong, but we haven't seen it diminish to the extent we could say it's leasing from a future period that's been pulled forward. So that seems very theoretical.
Spenser Allaway: Yes. No, that kind of answers the question, right, exactly. If you guys aren't seeing a deceleration -- that's material, then that kind of answers the question. We've recently attended a conference, in which there was anecdotes in which, some market participants have been seeing such deceleration. So the fact that you guys have not, answers my question, like you said.
Operator: [Operator Instructions]. Our next question will come from Juan Sanabria of BMO Capital Markets.
Juan Sanabria: Just hoping we could double it on to the expectations built into occupancy. What's assumed in the second half in terms of occupancy declines with seasonality eventually waning and how is that compared to history?  And Joe, maybe what's the exit run rate we should be thinking about with an eye towards the starting point for 2023? And do you see any changes in the consumer behavior to make you think differently about how you're feeling about '23 relative to where you were maybe NAREIT a couple of months ago?
Scott Stubbs: Yes. Juan, this is Scott. Our occupancy has been pretty consistent over the last 4 months where we've run 1% to 1.2% below prior year. And we would expect that to continue throughout the remainder of the year and maybe fall off slightly more than that as we get towards the end of the year. So we expect to be below where we finished 2021 by 1% to 1.5%.
Joseph Margolis: I think your second question was on revenue growth pattern. And we do anticipate moderation, as Scott said in his remarks. But if you look at our guidance, we'll end the year in low teens positive revenue growth, which is just a fantastic number. It sets us up really, really well ahead into 2023.
Juan Sanabria: And then just the second question on expenses. Normally, the point of contention, and the point of stress is taxes, but that's actually a bright spot relative to some of the other increases. But just curious how you're thinking about various kind of more meaningful expense line items? And how sticky those could be into '23? And are you seeing any changes or differences across the regions maybe more cost pressure in the Sunbelt versus the coastal market? Just curious on a little more color on expenses.
Scott Stubbs: Yes. So first on taxes. I mean, taxes, we are seeing things get reassessed in that 5% to 7% higher. We have been the beneficiary of some appeals, which has offset some of that increase. So overall, we're seeing increases, but the appeals are clearly benefiting us. Those are more onetime.  In terms of payroll, we continue to see wage pressure. Our payroll wages are up as much as 10% and our hours are up this year year-over-year. So that is somewhat a comp from last year. So last year, we had negative expense growth in the first half of the year. So as we resume more to normal hours, as more normal staffing, that is an increase year-over-year that we would not expect to go into next year. We would expect some wage pressure, but not the hour adjustment.  In terms of other things, we also continue to see pressure -- inflationary pressure on utilities, on repairs and maintenance. And as your revenues grow, your credit card fees grow. But this is the beauty of being in self-storage. It's such a high-margin business. So while inflation does impact your expenses, you also have some opportunities on the revenue front with month-to-month leases and that shorter-term lease really is a benefit to us.
Juan Sanabria: And if maybe I could sneak in a super quick one. What's the average lease duration that Bargold has with the multifamily landlords to actually get the space?
Joseph Margolis: So the initial lease terms are between 10 and 15 years.
Operator: [Operator Instructions]. And next, we have Jeff Spector of Bank of America.
Jeffrey Spector: And congratulations on the quarter. Joe, I just -- I think I heard you comment quickly on -- looks like a good set up for '23. And interestingly, that's kind of been the a key debate I've had today with some incoming calls, again, strong results. Lots of skeptics that there are concerns still about weakening demand coming. I think it's interesting that I hear you -- the guidance if you achieve the second half, I guess, can you talk about then that setup into '23, which I think I heard you maybe comment on?
Joseph Margolis: Sure. So if we end the year at low teens revenue growth and knowing how increases and decreases take time to roll through the rent roll in storage, it takes a while for any weakness if we see that, if you're looking for a downside scenario to roll into results. So pick an ending point, right? I mean storage has only gone negative in revenues during the Great Financial Crisis and barely 0.1% during 2020. So pick whatever ending point you want for revenue and I think you will end up in 2023. I'm not giving guidance. I'm just doing math, above long-term historical averages in revenue growth.  And expenses, we'll continue to try to manage as well as we can. But we're going to have -- we have really hard comps this year, we're going to have fairly easy comps next year. And moving out of the store arena, everything else is growing really rapidly. Our Bridge Loan Program is growing rapidly. Our management business is growing rapidly. As the transaction market gets tougher, people tend to seek other solutions and sale, which are both -- which could be Bridge Loans. We're seeing less exits from our management business due to sales. Some of our other things that we do or seem to be shaping up and hopefully, we'll talk more about that later. So I'm pretty excited about 2023.
Jeffrey Spector: Great. Very helpful. And is it fair to say that the trends you've seen in the first half of the year continued through July into August?
Scott Stubbs: The amount of August has past? Yes. July continued from June rates were reasonably flat, June to July. Last year, like I mentioned, the rates really peaked in June, July of last year. So as last year's rate comp becomes easier, we hope that August continues to go well. But 2 days into August, it's all looking good still.
Jeffrey Spector: Great. And then my last question, just to confirm, again, are there any signposted issues? It seems like you're very comfortable continuing to push rate on the customer, the customer is taking it. But any signposts any of any issues and maybe in any markets?
Scott Stubbs: Yes. So when we talk about the health of the customer, we get a lot of questions about this. We look at things like bad debt, your accounts receivable, you look at rates where they are today versus where they were.  In terms of accounts receivable, they're pretty consistent with where they were last year with the historical norms. Bad debt is very close to the historical average. Haven't seen those elevated over the past quarter.  In terms of rate, we compared to 2019, our in-place rents are up 26%, 27%. So while year-over-year looks really big, like a really big jump. When you go back a few years, it's more affordable and maybe it doesn't -- not as extreme as people would think on the surface.
Joseph Margolis: Jeff, I would add, we have stronger markets and we have markets that are less strong. And we're always looking where performance isn't as good as elsewhere and seeing what tools we can use to try to help those markets. And it may be submarkets or individual stores where we have to do certain things with marketing spend or different things. And we always trying to maximize performance. So not everything is as strong as the best performing assets in the company. But everything is good. And we have the tools to address individual areas or stores or markets of weakness, and we feel lucky to have a really broadly diversified portfolio.
Operator: [Operator Instructions]. And next, we have Keegan Carl of Berenberg Capital Markets.
Keegan Carl: I know this is addressed a bit early on in the call, but acquisition guidance is obviously raised again. Just curious if you could give us a little bit more color on how much competition you're truly seeing for these assets, that's over the last quarter? And kind of any sort of color on cap rates is really helpful?
Joseph Margolis: So I think we're seeing less competition. I think there are fewer bidders. Folks who rely on leverage really heavily, have -- many of them have gone through the sidelines, but there's still bidders. And so transactions are getting done. So it's not an open playing field by any means. And cap rates is always a hard thing to tell, right, because it's -- the data lags and each transaction is kind of unique, its own. But I would say we have seen an expansion of cap rates.
Keegan Carl: Got it. And as we think about plus with the year, right, I mean, what percentage of the portfolio do you anticipate spending another rate increase to? And how does that compare to years prior?
Joseph Margolis: So we haven't made any change in what percent of the portfolio we send a rate increase to. Every customer is eligible for a rate increase after a certain amount of time. I'm not sure if I understood your question correctly, but...
Keegan Carl: Yes, just before like the cadence of increases, right? Like you tended to increase that. I'm just kind of curious, like at this point last year, what percentage of your portfolio would do another increase? And how does that compare to this year?
Joseph Margolis: Okay. Yes. So, I misunderstood the question. So I don't think we can make good year-over-year comparisons. Because last year, we were so constricted by government regulations where we couldn't -- even if we wanted to, we couldn't send rate increase notices.  What I would say is that pre-COVID, we had a pretty formulaic approach in terms of cadence and amount of rate increase we sent to customers. And during COVID -- during the period of time we voluntarily didn't send out rate increase notices, and then when the governments of the various states told us we couldn't, we kind of kicked off with that formulaic approach. And we have not gone back to it. We are much more tailored now and designed in terms of both cadence and amount of rate increase that will send.
Scott Stubbs: Keegan, about 63% of our tenants today are below street rate. So obviously, they're eligible. We actually push people above street rates. So it's a large percentage. That 63% is actually higher than it's been in the past.
Operator: [Operator Instructions]. And next, we have Smedes Rose of Citi.
Smedes Rose: I just wanted to just come back on to the acquisition activity for a moment. You mentioned in your opening remarks a continued focus on nonstabilized assets and also working with joint ventures. Are you working kind of consistently with the same joint venture partners? Or are you finding new capital that wants to come into the space so you can forge new relationships or just kind of interested in how that's going?
Joseph Margolis: Sure, Smedes. Thanks for the question. So we have 2 new joint venture partners this year in 2022. We also are working with some of our older joint venture partners and the phone rings a lot. There's lots and lots of people who would like to be our partners in self-storage.
Smedes Rose: On the nonstabilized assets, I'm just wondering, are more folks coming to market because they're just like where the pricing is now? Or are you seeing deals where they're sort of unable maybe to get permanent financing or kind of their underwater logic, their initial underwriting, kind of what's bringing those assets to market in this environment?
Joseph Margolis: It's certainly asset specific. But I would say before the interest rate increases happen, pricing was so strong -- well, first, let's back up a little bit. 2021, you had strong pricing, you had fear of capital gains, tax increase. You feared 1031 going away. Getting into 2022, you had strong pricing and low interest rates. Now I think you have some people fearing increased interest rates and further cap rate compression in the future so time to get out. And then you always have the asset-specific thing. It's a fund that's coming to the end of the life. It's a family where there's been an issue or a death in the family. But I think those reasons probably wrap up most of the situations.
Operator: [Operator Instructions]. Our next question comes from Samir Khanal of Evercore ISI.
Samir Khanal: Scott, just curious on the New York MSA. I mean the region is holding up quite well. I'm looking at the numbers, I think revenue growth even accelerated meaningfully kind of in the second quarter. Maybe talk around some of the drivers of that? I'm trying to figure out if it's sort of -- because the New York MSA will include New Jersey, maybe there's some restrictions being lifted on the rent side. And maybe if there's a way to even sort of look at New York boroughs, Brooklyn and Bronx kind of what are you seeing in that sort of areas as well?
Scott Stubbs: Yes. So when we break it out between the boroughs in New Jersey, our Northern New Jersey stores are performing better than our boroughs. Now we don't have a huge number of stores in the boroughs, so it might not be a great comparable. But both markets are performing below the average of the portfolio, but New Jersey is definitely performing better than New York. We did see rate increases. The state of emergencies lifted late last year. And so that has benefited us throughout this year.  I think November -- December is when most of those went out. So that's when you'll have a tougher comp. But we did implement many rate increases late last year that have benefited us this year in New Jersey.
Samir Khanal: And I guess, at this point, there's no more rent restrictions sort of in the portfolio, it remains to be lifted, correct? Or is there any more sort of opportunities there as well?
Scott Stubbs: Not material -- not material state of emergencies in effect anywhere.
Samir Khanal: Okay. And I guess, Joe, just maybe as a second question, just provide maybe an updated view on kind of the supply picture, kind of what your most recent thoughts are?
Joseph Margolis: Sure. Pretty similar, very similar to what we talked about last quarter. We continue to see and expect a moderation of new supply. There's certainly headwinds in terms of interest rates, cost, entitlements but it's not going to 0. There's still is new supply being delivered, and there's still an awful lot of interest in people wanting to build new self-storage. I'll give you a stats that is interesting.  Our management plus team underwrites about 215 deals a quarter for potential management contracts. 75% of those this year have been development. So there's still a lot of people out there interested in building self-storage. And you can understand why. The results of the asset class have been phenomenal.
Operator: [Operator Instructions]. Our next question will come from Hong Liang Zhang of Citi.
Hong Liang Zhang: Of JPMorgan, but first just have to say, as a current Bargold consumer, I'm pretty excited for the opportunity presents you all, but I'm also a little apprehensive about what my monthly rent is going to look like going forward? But I guess on the topic of rent increases, would you be able to share what the average magnitude of rent increases you're currently pushing in your portfolio and how that's changed compared to the first quarter?
Joseph Margolis: So as I said, tried to reference earlier, it's all over the board, right? Because we have this weird situation, a unique situation, excuse me, of folks whose rent was artificially suppressed by government regulation at a time when street rate was increasing. So we had some larger the normal gaps between what people are paying a street rates, and we were trying to catch up. So there's a wide variation in the amount of rent increase customers are getting, and I'm not sure an average is meaningful because of that.
Hong Liang Zhang: Got it. But it sounds like there's no significant areas where the MSA -- the rent and the MSA is materially lower than kind of the average?
Joseph Margolis: No.
Scott Stubbs: No. I think you saw some that were larger than the average as rate restrictions were lifted, and we moved them quickly to the current market rates. And that benefit as you move throughout this year, obviously, decreases because you were doing many of those late last year and early this year.
Hong Liang Zhang: Got it. And then on the expense side, how should we think about, I guess, expense growth in personnel and property operating on a sequential basis? Is kind of the level of spend in the second quarter representative of what it's going to look like for us over the year? Or is there a little bit more further to go from here?
Scott Stubbs: So the wage pressure has obviously -- will be consistent throughout the year. So you're probably around 10% wage inflation year-over-year. Hours should get better as we move throughout the year. So towards the end of last year, we were more appropriately staffed and second quarter was -- and into the third quarter was kind of the low point in terms of staffing hours and being understaffed due to turnover.
Hong Liang Zhang: And if I could sneak one last question in. I think in your prepared remarks, you talked a little bit about potentially cross-selling between Bargold users and your current Extra Space units. Is that -- should we take that as a sign that you'd be looking to expand further into Manhattan and the New York MSA?
Joseph Margolis: So the -- we have lots of ideas for Bargold. Well, the first thing we're going to do is absorb the existing business. One of the ideas, you're right, is they have such a long waiting list is could we provide some option for the Bargold tenants on the waiting lists to store their stuff in Extra Space units and then maybe give them a priority to get into a Bargold unit would that -- would not help Extra Space. We have not instituted that yet. That's just one of many ideas that we're excited to get to.  And yes, we -- once we digest Bargold, and we feel we have it rhyme the way we want, absolutely, we're going to try to expand it first in Manhattan and other parts of New York and possibly then afterwards to other major cities in the country.
Operator: [Operator Instructions]. Our next question will come from Ronald Kamdem of Morgan Stanley.
Ronald Kamdem: A couple of quick ones for me. Just going back to some of the breadcrumbs on the same-store growth, talking about the exit rate for 2023 or for 2022 and thinking about that as a starting point for 2023. I think the earlier comments you -- was suggested that it could be in sort of the double digits for second half of this year, therefore, 2023 double digits on the table. I just want to make sure I understood that correctly? Or is there anything about the comp that we should be thinking about?
Joseph Margolis: So I apologize if I implied that because we're going to end the year in double digits in revenue growth. That means it's going to be double-digit revenue growth throughout 2023. I think it means we're going to start 2023 with double digits. And then everyone can have their own view of the market and how that will moderate or not operate throughout the balance of the year.
Ronald Kamdem: Got it. That's pretty clear. My second question was just on the marking the -- some of the jurisdictions that have been under state of emergencies like LA and so forth. When you think about sort of the same-store revenue growth year-to-date, is there any way to quantify how much contribution came from marking those jurisdictions to market just from a high level?
Joseph Margolis: So I think last quarter, we said we expected lifting of the California state emergencies to add 50 basis points to the same-store portfolio. We now think that's more like 70 basis points. And the reason for the difference is we were only conservative in our length of stay assumptions. We thought that when we increased rates to street rates, we would push more people out the door. But in fact, we've been conservative in that assumption. So 70 basis points is the answer to your question.
Ronald Kamdem: Great. And then my last one is just on Bargold, if I could sneak it in. Just you talked about a little bit of the business and the potential growth opportunity. Maybe how much more -- when you're thinking of the growth opportunity, how much more capital over time did you provide to the company? Or is the capital commitment pretty much done from the standpoint?
Joseph Margolis: So the capital to grow the business, and I don't want to get in front of ourselves, right? I don't want to promise huge growth. We're taking this one step at a time. And the first thing is to absorb what we have. But we did buy this with the expectation that we will get to a growth phase. The -- because these are leases and the rent is just a percentage of revenue, there's no fixed rent in these leases. It's very capital light. You just have to build out the space. That's your capital.  Now there also may be capital expended in terms of systems. We -- our systems are better than theirs, and I'm not saying anything negative about the company. It's a very successful, well-run family company, it was, but we have more capabilities than them. We have better systems. And so we may also put some capital in there. But it's not a lot. This should be generally capital-light going forward.
Operator: [Operator Instructions]. And next, we have Joab Dempsey of Truist.
Ki Bin Kim: It's actually Ki Bin. Just a couple of follow-ups here. On the Bargold, can you talk a little bit more about how that business is actually run in terms of like how many units per apartment building is the average? What happens when a tenant doesn't or losing vow. Like do you -- does the building manager handle it? Or do you have to handle it some of more of a kind of practical elements of running the type of business?
Joseph Margolis: Sure. So the average number of units in the building is 25, but there's a pretty wide range of that. I think the largest building is 800 units, which is kind of similar to a store, but there's also buildings that just have a handful of units. The reason kind of boards or call-up boards building owners would do this, and so they don't have to handle it. So Bargold, now Extra Space handles getting the -- through in the unit, dealing with payments, dealing with nonpayments and auctioning the units. Out of their 17,000 -- over 17,000 units, they auctioned about 20 a month last year. So the rate is very, very small. And it's storage. It works just the -- laws are the same, and it works just like storage.
Ki Bin Kim: And what was the cadence of their revenue growth over the past year? I'm just trying to get a sense of, if this is a -- this was a hyper growth type of company or more static that you're trying to improve? Any kind of color you can provide around that?
Joseph Margolis: Yes. I would say it was neither static nor hyper growth that they were a steady growth company growing in the single digits every year.
Ki Bin Kim: Okay. And just last question on moving rate. I think you mentioned it was flat in July year-over-year. It does get tricky looking at these kind of statistics because you have such a tough comp from last year, and it's not like everyone moves in. You reprice everything off of -- in a single month. So just curious, given your commentary about moving rates, where is it in-place versus move-in today? And as we get past these tough comp period, is your expectation that market rent growth as we get into the second half is still goes back to positive year-over-year?
Scott Stubbs: Yes. Let me clarify one thing first, Ki Bin. So the month of July, we were about 5% to 7% negative in our achieved rate growth and that's year-over-year. So if you compare to where tenants were moving in last year versus this year, we were slightly negative. Now we forecast all of that. We expected that. And so we're not surprised.  In terms of the roll down, our in-place leases today -- our achieved rates are about 7% below where they were where our achieved rate is today -- I'm sorry, they're above. Our in-place rents are higher by about 7% than our achieved rents. And normally, at this time of the year, they're flat. Now in terms of cadence of where we expect our rates to go. Last year, they peaked in June and July, and they came down in August. So depending on what happens in August with our current rates, those could be flat again at the end of August.
Operator: [Operator Instructions]. And we have a follow-up question from Juan Sanabria of BMO Capital Markets.
Juan Sanabria: All right. Just a couple of follow-ups. Just on Ki Bin's question on the in-place -- or sorry, the achieved rates, I apologize. Could you just give us a sense of how that trended throughout the quarter? Quarter, I know you get the July figures. But is the sense of how that trended in -- would be helpful?
Scott Stubbs: Yes. So April, May, they were slightly positive. June, down about 6%. Average about negative 3% for the quarter. July, you were down that 5% to 7% range again. So that's year-over-year. And again, last year, you were pushing rates in June and July pretty hard.
Juan Sanabria: Great. And then just a quick follow-up on the relative to your expectations. Any markets you call out as the largest source of upside this quarter versus expectations?
Scott Stubbs: So things have performed pretty close to our expectations. I mean, the list of properties in what markets are outperforming, Atlantic continues to be a standout market for us. Most of the Sunbelt continues to be strong with South Florida, Miami being exceptionally strong in the Sunbelt, Miami and Atlanta.
Joseph Margolis: It's a small market, but Charleston is one that has kind of jumped up and was -- had a bunch of supply and wasn't on our list earlier.
Juan Sanabria: And then one last quick one, an incoming question. Can you estimate the impact to same-store revenue, I guess, year-to-date? Like you did for California, you said the rent restrictions coming off or 70 bps to given the higher length of stay for California, any estimate for what the impact or benefit was from New Jersey restrictions rolling off?
Joseph Margolis: I don't have that number, Scott.
Scott Stubbs: No. We don't have it.
Joseph Margolis: Can we get that back to you once...
Juan Sanabria: Of course.
Operator: [Operator Instructions]. We also have a follow-up from Smedes Rose of Citi.
Michael Bilerman: It's Michael Bilerman here for Smedes. Joe, so 2 topics. The first was just on length of stay. And you had a really nice slide at NAREIT, which broke out length of stay between those greater than 12 months and those greater than 24 months. And that showed you know the data, but -- so that you're up to 66% greater than 12 months and up to 48% for greater than 24%, up from about 60% and 40%, respectively, pre-COVID.  As you dive into those numbers, is there anything that's changed over the last couple of months with those length of stays? And is there anything on a regional basis from a market perspective that's telling you anything or a customer perspective, just as you sort of disaggregate that aggregate data?
Joseph Margolis: So we've had elevated vacates in response to our increased rent increases to existing customers. And we track that really carefully with every month control group. So we know exactly what percent increase in vacates being caused by our ECRI rent increase program. And that has caused a very slight moderation or dip in those numbers that you referenced in terms of long-term stay, but they're still very high and elevated from any historical period.
Michael Bilerman: Does it reflect, Joe, do you think all those where you had a significant number of new customers that came to storage, I think over COVID, it was like 50% of the customers were new. Is that potential to driving the higher length of stay? And is there anything on a regional basis that would be different?
Joseph Margolis: So I guess in reverse order, we don't see anything on a regional basis. It's pretty consistent across all markets. And our theory, which I think you're referencing here, theory, that the customers who came to us in COVID for lack of space because they were doing a home office or whatever. Those are the longer stay customers and we do lose some percentage of those. They don't all stay forever, but many of them are sticky.
Michael Bilerman: And then are you seeing at all with, obviously, where rents -- apartment rents have gone, but also threats of a recession where typically, you'd see people start to double up or move back home, which would then increase your storage needs, right? The recession is not necessarily totally bad for your business. Have you started to see that in any of the markets where you're starting to see some of that demand at all?
Joseph Margolis: So I don't know if we can say yes or no to that yet. Some of that data is hard to collect and you need a good period of time before you can be confident with it.
Michael Bilerman: Right. I just want know if there was any early reads that your excellent property managers are seeing from those that are walking in the door, the type of uses that they're bringing in, if anything has changed more recently?
Joseph Margolis: I mean there's always anecdotes, but I don't think I would be comfortable saying that we see a trend or a movement or anything like that.
Michael Bilerman: And then just wrapping up on Bargold. You said the average lease length that Bargold has, it was 10 to 15 years. How much remaining lease term on average do they have with those 17,000 units? And I would assume there's some extension options? Or I guess if the co-op or condo, rental Board decides and Bargold just removes all the equipment that they installed just to better understand sort of what happens upon lease end?
Joseph Margolis: So on lease end, there are several options very, very rare does the building owner ask for this deal to be removed. They can purchase it or more frequently lease it. So there's a revenue kind of -- a residual revenue stream at the end of the lease term for the leasing of the steel.  A portion at the end of the lease term, they automatically convert to month-to-month leases. And they have a portion of the -- we have a portion of the leases that are in that month-to-month category. And in looking at the portfolio, we really -- we're looking it hard at what is the churn rate? And how long do those last? And when do they get -- how often do they get terminated and took that into account in our underwriting?
Michael Bilerman: And do you sort of see, Joe, this business as being -- it's hard to probably compare, but do you want to put this into more owned like co-op condo buildings or you sort of see this more as a rental building product? And do you see it cannibalizing if you're able to do exactly what you want to do and grow this business nationally and leverage all the tools and skill sets of Extra Space, does it become a competitive storage product? And I can understand at the same time with the waiting list that this company has. It could also provide you lower customer acquisition costs, too. But what is your sort of mindset about where this product potentially could go?
Joseph Margolis: So I think we have a lot to learn. And one of the things we need to learn is exactly what's the optimal building. And is it -- what are the differences between putting it in an own building or a rental building? They have both. It works well in both. And how many units per apartment unit is optimal? And what's the best unit mix? We will tend to take a very data-oriented approach to that, probably more so than the prior quarter. So a lot of the questions that you have are the questions that we have, and we're going to learn about it.  On the best case where we can grow this thing, gigantic scale and it's lots of apartment buildings, then that does become a competitor for traditional urban self-storage. But if that's the case, I want to be the one to be the first mover in that.
Operator: [Operator Instructions]. And we have a follow-up. Next, we have Jeff Spector of Bank of America.
Jeffrey Spector: Promise, just one follow-up. Can you just confirm, in-place for us to achieve difference and how you reconcile that with earlier, I believe you commented 60-plus percent of the leases are below street rate, please?
Scott Stubbs: Yes. So our average in-place rent is about 7% above where our achieved rents are today. Now that's on average. That's just comparing your average versus what the move-in is today. So while you could still have slightly negative rents and you push tenants up. . Now the one thing that we always look to is you're churning 5% of your customers every month. So a portion of that may move in at slightly lower rents. We then move our existing customers up fairly quickly. So we're probably one of the more consistent in our rate increases and how we do that more programmatic than others.
Operator: [Operator Instructions]. And we have a follow-up from Todd Thomas of KeyBanc Capital Markets.
Todd Thomas: I appreciate taking the follow-up, hopefully, quick here also. In terms of street rates, can you talk about those trends during the quarter by month, perhaps and into July, Scott, like you provided on the achieved rates?
Scott Stubbs: Yes. Street rates are not that different in terms of year-over-year growth or where they were than our achieved rates. Achieved your difference that is which channel they came from and that type of thing or discounts offered. So fairly similar trend to our achieved rates.
Todd Thomas: Okay. And then on that 63% of customers, though, that are currently paying a rate below street rate today. You said that, that is higher than it has been historically. What's more typical for that metric?
Scott Stubbs: We went incrementally higher. I think it was low 60s earlier this year.
Todd Thomas: Okay. If you look back, though, over the last, say, 10 years, where has that been generally?
Scott Stubbs: I actually don't have this right -- we don't have it in front of us, Todd, just more of the recent numbers.
Operator: And this ends the Q&A session for today. I would now like to turn the conference back to the CEO, Joe Margolis for closing remarks.
Joseph Margolis: Great. Thank you. Thank you, everyone, for your time and interest in Extra Space. If I take a big step back and kind of look at how the company is going -- it's really a good time here at Extra Space. Everything is clicking on all cylinders. The growth front, as we talked about, is really strong. We have a number of technological innovations underway that we're excited about. We just got back engagement surveys. Our scores are up very, very much this year. We are in great shape with our employee report. Thank you. [indiscernible] from the operations there. As my kids would say they're stupid good. So it's just a great time for us at Extra Space, and we appreciate everyone's support. Thank you.
Operator: This concludes today's conference call. Thank you all for participating. You may now disconnect, and have a pleasant day.